Operator: Greetings, and welcome to the Huntsman Corporation Year End 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ivan Marcuse, Vice President, Investor Relations. Thank you. Sir, you may begin.
Ivan Marcuse: Thank you, Jessie, and good morning, everyone. Welcome to Huntsman's fourth quarter 2020 earnings call. Joining us on the call today are Peter Huntsman, Chairman, President and CEO; Sean Douglas, Executive Vice President and CFO; and Tony Hankins, President of Polyurethanes.  This morning before the market opened, we released our earnings for the fourth quarter 2020 via press release and posted to our Web site, huntsman.com. We also posted a set of slides on our Web site, which we will use on the call this morning while presenting our results. During this call, we may make statements about our projections or expectations for the future. All such statements are forward-looking statements, and while they reflect our current expectations, they involve risks and uncertainties and are not guarantees of future performance. You should review our filings with the SEC for more information regarding the factors that could cause actual results to differ materially from these projections or expectations. We do not plan on publicly updating or revising any forward-looking statements during the quarter.  We will also refer to non-GAAP financial measures such as adjusted EBITDA, adjusted net income and adjusted free cash flow. You can find reconciliations to the most directly comparable GAAP financial measures in our earnings release, which has been posted to our Web site, huntsman.com. I will now turn the call over to Peter Huntsman, our Chairman, President and CEO.
Peter Huntsman: Thank you very much, Ivan. Good morning, everybody. Thank you for taking the time to join us. Let's turn to Slide 3. Adjusted EBITDA for our Polyurethanes division in the fourth quarter was $201 million versus $122 million a year ago. This improvement versus the prior year was largely driven by improved margins due to higher prices, primarily in the component end of our business as well favorable costs.  We experienced better than initially expected demand across all regions, as many of our core markets continued to recover in segments such as automotive, and our spray foam insulation business saw growth versus the prior year quarter. However, largely due to previously announced production issues at Geismar caused by a third party supplier, our total MDI volumes in the quarter were down about 8%.  I will note that our total differentiated volumes, which includes our automotive, elastomers and spray foam businesses, were up 6% in the quarter. Demand trends in our core markets, including construction and automotive, have continued to improve, even as COVID cases rose sharply in the fourth quarter and governments in certain states and European countries mandated further restrictions in an attempt to slow the spread. At the time of our previous quarter’s call, when we gave our initial fourth quarter outlook, we had concerns that such restrictions would dampen the recovery. Fortunately, solid demand trends continued even beyond what we had anticipated when we revised our outlook in early December. As COVID cases in many regions have plateaued or has started to fall, and the number of people being vaccinated is increasing, we are cautiously optimistic that demand trends will remain favorable and we expect our Polyurethanes results in 2021 to be materially better than the prior year.  With the world aggressively looking to become more efficient in areas such as energy consumption, light weighting as well as finding opportunities to increase plastic recycling and producing VOC free consumer products, our Polyurethanes segments is well positioned to benefit from these and many other globally sustainable trends over the coming years.  Our largest global market, which makes up about half of our Polyurethanes segment are our urethane building and construction products, specifically insulation, composite wood products and adhesives. Our insulation business is our largest market, and MDI-based insulation is one of the most efficient and versatile insulance [ph] there is.  Our Huntsman Building Solutions business, which is a global leader in spray polyurethane foam, is growing double digits, well above market. It is benefiting from increasing consumer and contractor demand for sustainable eco-friendly solutions. Furthermore, we're seeing growth in Huntsman Building Solutions due to positive housing trends in North America, international expansion and product substitution as it takes share from traditional products used to insulate homes and buildings.  The integration of the Icynene-Lapolla acquisition will be largely complete by the second half of this year, resulting in more than $20 million of annualized synergies. Our TEROL polyols which is able to utilize recycled PET waste as a feedstock will also grow along with our spray foam and other global insulation businesses.  In 2020, we expanded our TEROL polyols business by opening a facility in Taiwan too, in part to support our SPF growth in the Asian region, as well as for other insulation products and customers. The growth prospects for Huntsman Building Solutions are very positive and we continue to be enthusiastic about the long-term prospects of our entire insulation portfolio.  Next, to construction, our second largest segment in Polyurethanes is automotive, which we're also expecting to see solid growth over the next several quarters. We continue to innovate with all of our customers and are benefiting from MDI continuing to substitute existing products. Additionally, our high margin elastomers business is starting to see improving trends as footwear is returning to growth, along with several other niche industrial markets we serve. While we understand that volatility still exists within the component end of our business, which certainly received a fair amount of attention, the majority of our Polyurethanes segment is in our downstream businesses and continues to not only benefit from stable margins but also demonstrates the most growth. The upstream end of our business, that being component and polymeric systems, did benefit in the fourth quarter from a tight market due to several MDI facilities being down for various reasons. We would expect the margins in this end of the business, specifically in China to eventually come off these higher prices as facilities return to normal production rates. However, we do not believe that these margins will fall anywhere close to what we saw in the first half of 2020.  Looking out over the next several years, we do not anticipate any new capacity to come into the market that will materially disrupt demand/supply balances. As we have consistently stated, we expect industry demand to be fairly balanced over the coming years. In our third quarter call, we already disclosed our planned outage in Geismar resulting from third party supply issues. That impacted the fourth quarter adjusted EBITDA by about $15 million. With stronger than initially expected recovery underway, we not only impacted -- it not only impacted our fourth quarter results, but it also limited our ability to build inventory for a regularly scheduled turnaround in the fourth quarter on one of our Geismar lines. As a result, we elected to defer this turnaround to the first quarter of 2021. This has deferred approximately $10 million of expenses from the fourth to the first quarter.  With strong global market conditions in the fourth quarter, coupled with the production issues at Geismar, we were sold out in short of product. This will have a temporary impact on the first quarter 2021, as we continue trying to build inventories ahead of our planned and previously announced second quarter Rotterdam T&I. On a quarter-over-quarter basis, this will impact us by approximately $30 million in the first quarter as we balance inventories in the first quarter ahead of our T&I. We still estimate the impact from the Rotterdam T&I on second quarter adjusted EBITDA to be approximately $15 million. Taking this into consideration, despite our expectations for polymeric MDI margins to modestly receive of current highs and some headwinds associated with our need to build inventories ahead of planned turnarounds, we still expect our first quarter 2021 adjusted EBITDA to be slightly more than double what it was a year ago. Let's turn to Slide 4. The Performance Products segment reported adjusted EBITDA of $41 million compared to $43 million in last year's fourth quarter. The decline in EBITDA was largely due to a modest decline in maleic EBITDA, as a result of lower margins. While overall segment volumes were down approximately 4%, we benefited from lower fixed costs.  Our performance amines volumes were down largely due to continued weakness in the gas treating and oilfield markets. However, demand trends were favorable in various other performance amines markets such as coatings and adhesives, construction and fuel and lubes, which have demonstrated more resilience throughout this past year. Growth was somewhat limited by temporary raw material and supply chain constraints in certain regions that prevented this business to show year-on-year growth in the fourth quarter. Volumes and margins in our ethyleneamine business continues to be soft due to overall economic environment and competitive pressures facing this business.  However, we do believe that this business has bottomed after several consecutive quarters of decline, and we are beginning to see signs of recovery and improvement. Global volumes in maleic were fairly flat year-over-year. Volumes that go into UPR markets are trending positively and we see favorable demand trends in maleic for 2021. In the first quarter of 2021, we expect solid demand in both amines and maleic and estimate Performance Products adjusted EBITDA to be up by approximately 10% to 15% above the prior year. This is particularly favorable given the tough prior year comparison related to strong pre-buying by certain customers ahead of government mandated pandemic-related shutdowns last year.  Let's turn to Slide 5. Our Advanced Materials business reported adjusted EBITDA of $27 million, down 36% versus the prior year. Decline in adjusted EBITDA was due entirely to the 65% drop in aerospace-related sales, which is partially offset by modest growth in the rest of our specialty portfolio.  Contribution from the CVC acquisition was largely offset by lost adjusted EBITDA from our recent DIY consumer adhesive divestiture in India. We believe that our aerospace business has bottomed out. While we expect a full recovery in aerospace to take years, we are beginning to see orders return indicating that supplier inventory channels have cleared and that destocking has bottomed. We expect to begin to see a modest sequential improvement in the first quarter versus the fourth quarter.  Apart from aero, 2020 was a milestone year for our Advanced Materials segment. We were able to significantly reposition and strengthen this core specialty portfolio through three strategic transactions at a highly attractive net price. The CVC acquired business, like the rest of our Advanced Materials, has been somewhat impacted by the global pandemic, particularly with respect to the aerospace portion of it. However, the business is proving to be a good fit. We are well on target to achieve the $15 million synergy run rate by the end of 2021.  We've only owned Gabriel Performance Products for just about a month now, but we're encouraged by the opportunities it presents. We're highly confident that we will achieve a target of $8 million of synergy run rate within two years. The investments that we've made in our Advanced Materials division sets up to show earnings growth over the coming years, as well as being a meaningful core platform for additional organic growth. While adjusted EBITDA will be down approximately 20% year-over-year in the first quarter due entirely to aerospace, we expect to see significant sequential improvements of about 40% and expect this division to show growth for the full year.  Let's move to Slide 6. Our Textile Effects division reported an adjusted EBITDA of $18 million for the fourth quarter, which was flat with the prior year. Volumes in the quarter grew 3%. The volume recovery we are seeing is being led by our apparel business as well as home textile products. We are optimistic that the industry will continue to recover over the coming quarters, generally in line with the reopening of retail stores and improved consumer spending. Our order book is returning to 2019 levels and inventories in the supply chain are tight, which may result in some restocking in the coming quarters as order patterns start to normalize and customer visibility increases. Our biggest improvement in orders is being led by our more specialty and sustainable products that help our customers achieve their goals in areas like water reduction.  We are focused within textiles and throughout all of our portfolios in developing sensible, sustainable solutions for our customers. We expect to again report volume and revenue growth in the first quarter, which will help to offset higher raw material and supply chain costs and our adjusted EBITDA should be slightly above the prior year period. Sean?
Sean Douglas: Thank you, Peter. Turning now to Slide 7. We were pleased to see a strong recovery in the fourth quarter with overall volumes not far from where they were a year ago. The volume decline is largely due to aerospace within our Advanced Materials segment. Margins were stronger, mostly resulting from higher prices in Polyurethanes. Fixed costs were lower largely resulting from cost suppression and ongoing cost reduction initiatives. Turning to Slide 8. We ended the year with approximately $3 billion of liquidity, including approximately $1.6 billion of cash. We received approximately $257 million of cash from the sale of our India-based DIY business. We may receive up to an additional $28 million in earn-out dependent upon achieving certain revenue targets in line with 2019 levels.  We also completed the sale of 42.4 million shares of Venator, including a 30-month option for approximately $100 million. The option is exercisable with respect to 9.7 million shares for up to 30 months. The sale of our Venator shares unlocked immediate cash tax savings of approximately $150 million by offsetting the capital loss on the sale of Venator with a capital gain from the sale of our chemicals and intermediates business completed early in 2020.  We also completed a sale and leaseback arrangement for a property in Basel, Switzerland that generated approximately $73 million in cash. This site is primarily for administrative and technical R&D. I would like to point out that we have been efficient in our tax planning that has allowed us to minimize leakage on our recent divestitures. With respect to our sale of our chemicals and intermediates business, tax leakage was approximately 12%. For the sale of our India DIY business, leakage was approximately 10%. With respect to our sale and leaseback on our Basel site, tax leakage was negligible. In January of this year, we completed the acquisition of Gabriel Performance Products for $250 million that further strengthens our coatings and adhesives footprint within our Advanced Materials business.  Our balance sheet is as strong as it has ever been with a net leverage ratio of 0.8x adjusted EBITDA or 1.2x pro forma for the Gabriel acquisition. Pro forma net debt stands at about three quarters of $1 billion, leaving us well under 1x levered normalized EBITDA.  In January of this year, we redeemed in full €445 million or the U.S. dollar equivalent of $541 million at par. This will have the effect of reducing annualized cash interest by approximately $26 million. For 2021, because of the timing of associated interest payments, the savings is approximately $19 million. For 2021, we estimate our full cash interest spend to be approximately $84 million. With respect to capital expenditures, we spent $249 million during 2020, near our guidance level. Included in this was approximately $54 million for our urethane splitter at Geismar, Louisiana. The splitter is still on target for completion in mid 2022. We expect to spend approximately $80 million this year and approximately $30 million next year.  In light of the $73 million of cash generated in the fourth quarter of 2020 for the sale and leaseback of the Basel, Switzerland site, we expect to reinvest this capital in strategic high return projects within our downstream footprint. These projects represent high growth opportunities that will further enhance our growth platforms within our downstream businesses.  The incremental span in 2021 associated with these projects will be approximately $30 million. Combining all this together, we expect to spend between $320 million and $330 million in capital during 2021. As our splitter span rolls off in 2022, we would anticipate spend for 2022 to be approximately between $275 million and $300 million.  Now onto free cash flow. On our last earnings call, we indicated that we did not expect a typical release of working capital within the fourth quarter in light of already low inventory levels and our anticipation to build inventories ahead of the Rotterdam, Holland turnaround that happens every four years and that is scheduled for March-April this year.  We believe that the fourth quarter would be a use of cash, and we therefore guided to a 2020 full year modest positive free cash flow. As it turned out, we actually ended the year with a much stronger adjusted free cash flow of $285 million and an adjusted free cash flow conversion of 44%.  In contrast to the vantage point, we had at the time of our last call the actual overall recovery within most of our businesses has been much stronger, particularly within Polyurethanes.  As already shared by Peter in light of the fourth quarter Geismar outage, coupled with the increasing polyurethanes demand, we were unable to build inventories in 2020 as previously targeted. All of our businesses ended the year with lower inventory levels than we had anticipated. With respect to receivables, although sales recovered stronger than anticipated, we achieved some of the best metrics we have ever achieved or experienced on managing accounts receivable.  Now with respect to payables, we saw continuous improvement in the days payable outstanding. Combining all this together, along with higher than expected EBITDA, we were pleasantly surprised by the better than expected free cash flow results.  Looking ahead into the first quarter of 2021, as Peter previously mentioned, we are trying to build inventories, particularly within Polyurethanes. We, therefore, anticipate a larger than normal first quarter seasonal build, with a significant build in net working capital in quarter one.  Our expected free cash flow is expected to be more negative than seasonally normal. However, net working capital should release as the year progresses, and we expect to end the year with a reasonably modest overall build in net working capital, as we reach more normalized levels of inventory.  Within the first and second quarters of 2021, we estimated an incremental cash spend of around $40 million associated with Polyurethanes Rotterdam turnaround. With respect to our cost realignment optimization and synergy plans, we spent approximately $27 million in 2020 and we expect to spend approximately $70 million in 2021. Each of these plans are on track and will deliver a combined annualized benefit in excess of $120 million by mid-2023.  Given the temporary elevated spending CapEx, cost realignment and optimization plans, and dependent on many variables including but not limited to the overall macroeconomic environment, we target a 2021 free cash flow near 20%. Keep in mind that for five years in a row now, Huntsman has generated an excess of 35% free cash flow.  The challenges of 2020 only made us better. We have a stronger balance sheet and a better platform of businesses for growth. We are committed to maintaining a strong balance sheet and delivering strong free cash flow. Peter, back to you.
Peter Huntsman: Thank you, Sean. As we say a robust and heartfelt good riddance to 2020, it is worth pausing and reviewing a bit of our past before looking forward. Above all else, I'd like to recognize our Huntsman associates around the world. They've been outstanding. They’ve stayed focused on our safety and operating reliability. I am both humbled and proud to be associated with each and every one of them.  We exit 2020 a much stronger company than when we started. Through six transactions, we have made meaningful progress in improving our business portfolio. We are on track to deliver in excess of $120 million of annualized synergies, cost realignment and business optimization savings by mid 2023. We delivered strong free cash flow and have a balance sheet that will serve our objectives well as we move into the coming years.  Looking into 2021, the year has started off strong, continuing on from the robust momentum of the fourth quarter. It is difficult to parcel out just how much of the growth in demand may be due to supply chain and inventory restocking purchases ahead of expected price increases or just flat-out insecurity of availability of supply due to imbalances in shipping and logistics.  However, I'm convinced that we are seeing true and underlying fundamental improvements in demand for our products. We are seeing a two-speed economy. A huge section of our GDP related to travel and aerospace, hotels, restaurants, entertainment, bricks and mortar retails and tourism are still hurting.  On the other hand, we're seeing a growing demand for automotive, construction, infrastructure and greener and renewable products. I compared the upheaval of our society last year as being akin to the Whiskey Rebellion of 1791. Now, it just seems that not only do you need a good shot of whiskey to make sure you haven't lost your taste and smell, but also to try to make sense of the seemingly ever-changing economic, political and regulatory environment.  While we have a pretty good view of the first quarter of 2021, as we go further into the year, our vision gets a bit more hazy. Given the fourth quarter of 2020 and seemingly strong first quarter of 2021, we have plenty of reasons to be optimistic for the remainder of the year. However, there are a few areas that I would like to call out is giving me more encouragement than I otherwise would feel.  In our automotive business, we are seeing strength as many people are abandoning public transportation. There's also dozens of new EV and more fuel efficient internal combustion engine vehicles coming into the market. Since nobody has a large position in ICE vehicles, but we see even greater opportunities in electric vehicles, whether it is battery technology using our carbonates, semiconductors using our amines, electric motors casings using our Advanced Materials or our low VOC polyurethane applications in seating insulation and light weighting.  Another macro trend we think continues is construction and remodeling. With record low interest rates and perhaps the largest migration of people moving out of large congested and poorly run cities in the past 50 to 60 years, we think this will be stronger relative to the rest of the economy. Whether it is the electronics needed for smart houses, structural OSB, energy conserving insulation, or our maleic moving downstream to the growing UPR markets, we are well positioned to not only supply the needs of today but welcome and encourage higher building standards around green applications.  As poorly as the aerospace industry performed this past year, we are seeing some forward movement in inventory. We continue to believe that this will be a long and rocky recovery, but we will see improvements throughout this year. We will also play a vital role in infrastructure and a greener and less of a carbon footprint economy. Our pipeline of innovation will see us taking advantage of more powerful batteries, carbon capture, building out and expanding power grid, light weighting vehicles in transportation, strengthening and cutting emissions from everything from concrete to asphalt to textiles. Similar to 2020, we're going to be focused on upgrading our portfolio. This will likely include further divestitures and acquisitions. Our focus will not be about slowly adding more tonnage, but as much as increasing our margin and improving our cash flow. In short, 2020 was something of a transformative year for us. 2021 has the potential of taking the company to far greater levels of transformation and value creation.  With that, Jessie, we've concluded our prepared remarks and we'll turn it over to questions and answers.
Operator: Thank you. Ladies and gentlemen, at this time we will be conducting a question-and-answer session. [Operator Instructions]. Our first question is coming from the line of Bob Koort with Goldman Sachs. Please proceed with your question.
Bob Koort: Thank you very much. Peter, I think in the past when we've had some very strong MDI markets, you talked about some level of fly up and you talked about maybe a little bit of softening from where we were in the back half of '20. Can you help us quantify what you thought might have been some excess profitability there, or is it the sort of glide path through '21 would be for the MDI business?
Peter Huntsman: Bob, it's an excellent question. I think that as we look at the run up of the component businesses, I'm kind of struggling to think just how much of that was a tightness due to one-time events and how much of that was due to planned outages. I would think that the majority of the “fly up,” if we want to call that fly up that took place in the fourth quarter, certainly took place in Asia and then secondarily, a bit of it in Europe, probably around $40 million to $50 million in the fourth quarter would be our best estimate. But I would say that as we look at the margins in the fourth quarter of 2020, particularly the Asian margins and we compare that to where it is today, it has stayed flat going into the first quarter. And we've actually seen margins improving on the component side of the business in Europe. So, our biggest challenge in the first quarter as I see it is not going to be around necessarily demand and pricing. I feel pretty optimistic as far as I can see in the first quarter on those things. It's going to be around the timing of the turnaround that we have in Geismar. We have a single line that was pushed into Q1 and mostly into Rosenberg. The issue that we have in Rosenberg, of course, is that this is a cluster turnaround which means it could result in a – well, okay, it's a cluster turnaround and we are only going to be able to restart as fast as everybody else in that cluster is able to restart their facilities. And the last time we had this a couple of years ago, as you'll remember, we gave it an estimate we were ready to go, we were ready to start up our facilities and we kept having utility issues and steam issues and chlorine issues with some of the other associated production facilities that, again, were not Huntsman size. So we can only operate in these sort of turnaround situations as fast as the slowest person can come up to speed. So again, we're optimistic. We think we've done all the planning we can do to make sure these are successful and timely T&Is and we've also got to make sure that we have adequate inventory built up to be able to supply customers during that timeframe. So sorry, longwinded answer there but I think that's – as we look at it, I think that we're seeing the momentum from pricing and margins continuing in the first quarter.
Operator: Thank you. Our next question is coming from the line of Kevin McCarthy with Vertical Research Partners. Please proceed with your question.
Kevin McCarthy: Good morning. Peter, you were kind enough to give us a forward outlook for EBITDA by segment. As I roll all of that up and make some assumptions, it seems as though you're steering the Street to about 250 million or so for the first quarter. Is that fair or would you endorse the over or the under on that level?
Peter Huntsman: I would say that that's a very fair assessment, Kevin. And I would think that the single -- right now the single biggest variable that I see on that is the amount of T&I work that we have. And again, some of that’s in our control, much more so at Geismar and some of it is outside of our control. And I think that's probably going to be the biggest variable. So I would imagine during investor conferences and so forth throughout the quarter, we'd certainly like to be able to update the market on that.
Operator: Thank you. Our next question comes from Frank Mitsch with Fermium Research. Please proceed with your question.
Frank Mitsch: Hi. Good morning. I wanted to ask about the Polyurethanes question a little bit differently in terms of the fourth quarter versus the first quarter. As I was feverishly writing down the puts and takes for the two quarters in terms of turnarounds, et cetera, I basically came operationally that they were pretty much going to be the same, again, when you strip out the various impacts. And historically, virtually every time your second quarter is better than your first quarter. Now obviously last year was a big anomaly. Understanding that your crystal ball is hazy, is there anything -- [Technical Difficulty]
Peter Huntsman: Operator?
Operator: I'm here Frank, I apologize. We're no longer able to hear you. And it looks like he may have disconnected from the conference. So we'll move on to our next question, which is coming from the line of David Begleiter with Deutsche Bank. Please proceed with your question.
David Begleiter: Thank you. Just on capital allocation, how is the M&A pipeline and how are you thinking about share buybacks with this newfound financial strength here? Thank you.
Peter Huntsman: I'm sorry, David. The first part of that question, did you get that?
Sean Douglas: M&A pipeline.
Peter Huntsman: Yes, the M&A pipeline. I think that it's fair to say that -- I'll stand by my earlier comments that we'd like to continue into 2021 looking at both divestitures and acquisitions. And I am a bit concerned about asset prices. And I can't say that -- I've been in this industry -- I think the team has been in this industry enough to know that those things cycle up and down. So, I always like to try to time a possible divestiture in an acquisition in situ, but they don't always typically work out that way. But no, we do have our eye on a couple of things. But I don't want to see us -- I don't want to see us pay too much or be too aggressive here. Having said that, I think as we look at the share buybacks, look, everything's on the table. And I think it will -- we'll take our capital and we'll look at the internal projects we have, we'll look at the M&A opportunities that we have and we'll weigh those against the possible share buybacks. My personal inclination is to lean towards the M&A. I think that the company needs to grow and I think it needs to get larger, but I don't think it needs to do that at any cost. So, we'll weigh those things very carefully.
Operator: Thank you. Our next question is coming from the line of Laurence Alexander with Jefferies. Please proceed with your question.
Unidentified Analyst: Hi, guys. This is Dan [ph] on for Laurence. How are you?
Peter Huntsman: I’m well.
Unidentified Analyst: The semiconductor shortage has been noted by others as having an effect on the auto industry. I was wondering if you guys are seeing any effect on your demand trends as well.
Peter Huntsman: I’m sorry. Can you repeat that question?
Unidentified Analyst: Sure. The semiconductor shortage has been noted by other people who serve auto industry as a headwind. I was wondering if you're seeing that at all.
Peter Huntsman: Yes, I’m going to turn that over to Tony Hankins, because most of what we sell in auto comes out of Polyurethanes. I've not heard anything on a material, just anecdotally. But Tony, anything more specific?
Anthony Hankins: No, Peter. The impact has been really de minimis. We will see no effect in China. We’ve seen a little bit in Europe, but nothing of a material nature. Our automotive sales continue to be very strong in all three regions.
Peter Huntsman: It’s fair to say that the majority of our automotive sales are in Europe. And I think that a lot of this is seemingly, at least at this point, is hitting U.S. manufacturers.
Anthony Hankins: That's right, Peter.
Operator: Thank you. Our next question is coming from Frank Mitsch with Fermium Research. Frank, please go ahead and repeat your question.
Frank Mitsch: Hi. I really apologize. It was just the exact timing that I had to do my taste and smell test for coronavirus, so apologies for that.
Peter Huntsman: Good one. That’s onto the hour again.
Frank Mitsch: Exactly, but I did pass. So that's the good news. I was asking a roundabout way of getting to historically -- it looked like your 4Q and 1Q are kind of in line when you do all the puts and takes and historically, your second quarter in Polyurethanes is better than the first. Obviously, that wasn't the case in 2020 due to the pandemic. But is there anything that you can point to right now that would either push you one way or the other, understanding that you do have a hazy crystal ball on that in terms of the second quarter being better than the first quarter in Polyurethanes?
Peter Huntsman: I think as we look at the second quarter, it's really the impact of the T&I that has this – and it feels like the markets are really strong right now. And I would have said a quarter ago that fourth quarter probably will diminish a bit than first quarter and [indiscernible] first quarter. It looks like we're heading into second quarter with some really strong momentum. We did point out I think in the call that we think that there will probably be a little bit lower margins and component prices in China. But again, that's yet to be seen. Look, just because we're – as we feel that, that doesn't mean that we're going to go out and force that to happen. If the volume is there, the demand is there and the pricing is there, we will be taking advantage of it. We'll be leading it and then we'll be supporting it.
Operator: Thank you. Our next question is coming from the line of Aleksey Yefremov with KeyBanc Capital Markets. Please proceed with your question.
Aleksey Yefremov: Thank you. Good morning, everyone. Peter, you mentioned that various outages in the MDI industry benefited margins in the fourth quarter. If you look at the state of supply and demand today, do you see any large unplanned outages that are sort of abnormal and affecting the level of prices in mid-February?
Peter Huntsman: I think that there are a number of facilities that have been publicly spoken about. There's some capacity in Japan where there have been some operating problems, and I think they recently have come back into the market. And then there's a facility in Ningbo and I think that there was some talk from BASF publicly about 400,000 tons being offline. I think those projects are supposed to be coming up sometime this month. The market as of right now, today, it still feels very tight. There's also been some further postponement of another 400,000 kilotons in China that have been postponed into later in the year. And, of course, our nearly 500,000 metric tons will be down for 42 days as we look into the March-April timeframe. So I think that as we look at these T&I, I think that we probably need to differentiate between what happens. It's unexpected and how much of it is planned? I think the majority of what we've been saying is planned. I think as we look around global capacity utilization rates right now, certainly in the U.S., we're importing materials. I think as an industry, we're importing materials right now. We're structurally short. Europe seems to be very tight, probably operating in somewhere in the low 90s. And Asia is probably somewhere in the mid to upper 70s. And I think when you take that on a global basis, you're operating somewhere around a 90% capacity utilization. When you take that and you take the stated nameplate capacity of the MDI market, I think that 90% capacity utilization is probably about as well as the industry can do when you factor in all of the scheduled T&Is and so forth that have to take place on an annualized – semi-annualized basis.
Operator: Thank you. Our next question is coming from Hassan Ahmed with Alembic Global. Please proceed with your question.
Hassan Ahmed: Good morning, Peter.
Peter Huntsman: Good morning. How are you?
Hassan Ahmed: I’m very well, Peter. Thank you. Peter, again, revisiting Polyurethanes, but more on the demand side of things and just beyond sort of, call it, Q4, Q1, you alluded to some sort of regulatory sort of trends as well as demographic trends being sort of decent tailwinds to overall demand. As I took a look at Q3, obviously, year-on-year, volumes were down quarter-on-quarter and year-on-year around 3%. And typically, this is an industry that grows at, call it, 6% to 8% demand wise. So my question is, with the rollout of the vaccine and the like, hopefully the world does normalize a bit. And in this sort of reversal to normalcy, where do you see trend demand growth for Polyurethanes now, keeping some of those demographic, regulatory and secular changes in mind?
Peter Huntsman: Well, I think that the two areas that I called out, Hassan, at the end of my comments around building solutions and automotive. And just having recently won the Tesla EV contract in China and those are typically contracts that while they might not be huge volumetrically as other people get into the EV markets and try to replicate what's already been successfully done at a company like Tesla, those sort of wins carry probably a lot more weight a year or two later than necessarily building out to the relative smaller capacity of a company like Tesla. I think that when we look at the easiest way, if this administration -- incoming new administration is serious about really reducing CO2 emissions and so forth, building insulation and looking at the regulation around that is probably one of the best and easiest wins you could have. And as you look at some of those sort of opportunities, we look around building solutions and we think that -- and we're working with individuals in this administration, we think that we've got a real opportunity here over the course of the next year or so to really take advantage of a greener footprint throughout society, and our products have the solutions in those areas. So, as long as I look at over the course of the next few quarters and the next few years, I'm extremely optimistic about what I see. But again, when I also look at some of the idiotic moves that various politicians have made on both sides of the aisle and some of the macroeconomic trends that have kind of hit society pretty hard, I don't want to be in the business of trying to micro estimate what's going to happen over the course of the next quarter or two. But I think when I look at over the course of the next year or two, I see a lot more pluses than negatives.
Operator: Thank you. Our next question is coming from Mike Harrison with Seaport Global Securities. Please proceed with your question.
Michael Harrison: Hi. Good morning. I was wondering if you can talk a little bit about the ethyleneamines business. It sounds like margins are stabilizing there and maybe there's some improvement coming. But maybe a little more color on what you're seeing in terms of demand trends and some of the competitive dynamics there.
Peter Huntsman: Yes. I think that as we look at that market, we certainly are seeing an improvement in that market. And as we think -- think about your end use markets. And that's mostly going to fuel and lube. So when somebody comes up with a fuel detergent, with a better lubes package and so forth, that's going to contain the additives that you see at the gas pump or the lube additives that you would see. That's what our end markets are for the most part in that business. So, as you see more driving, more traveling, more people getting out of their caves and getting about and getting back to work, if you will, we're going to see more and more demand and a greater opportunity to improve margins there.
Operator: Thank you. Our next question comes from PJ Juvekar with Citi. Please proceed with your question.
PJ Juvekar: Yes. Hi. Good morning. Peter, your new SPF insulation with recycled PET material, what is the customer uptake on that product? How do you price it? And is it cheaper to produce? And then just one more quickly on ethyleneamines. You mentioned weakness there. What's causing that? Is there more supply from Satara [ph] that has impacted that market? Thank you.
Peter Huntsman: Well, I think as we see that, I think that we continue to see an improvement in that and we continue to see coming up. We've seen some capacity that's been shut down in that market and has been absorbed in that market. And we also see some new capacity that's come on in the last couple of years. But by and by, I think that market is more balanced today than it has been over the last couple of years. I think that it seems like everybody's running at near capacity and margins and prices are going up. So, I think that it's going to be a tailwind for us. But let's also remember that this is -- this certainly isn't the driver of Performance Products, nor of our corporate EBITDA. I like to see it improving, but it's -- as we look at our specialty amines and our maleic anhydride, those are the two cores. As far as our pricing and our cost structure in our polyurethane foam, that's an excellent question. It's a question that I ask almost daily of Mr. Hankins as to why we can't get higher prices for our wonderful recycled foam insulation products. So, Tony, do you want to comment on that?
Anthony Hankins: PJ, good morning. Thank you, Peter. Yes, we’re selling -- the spray foam formulation consists of our MDI and our TEROL technology polyols. And we can now recycle up to 60% of postconsumer scrap from PET bottles into that formulation. So yes, it's very competitive. We manufacture at two facilities now. We have one in Houston and one in Taipei. To give you an idea of the growth rates there, PJ, in North America, we're growing at around about 25% on our spray foam application, which is very, very strong growth in North America. And now we're making major inroads into Asia with the growth of spray foam TEROL at Taiwan. So, it is significantly competitive with the recycled content. And we feel that we price that as a high quality premium product. So it's part of our business which is going from strength to strength and we have great enthusiasm for the future in TEROL and in the HPS [indiscernible] applications.
Peter Huntsman: Yes. I would just note that in 2019, we had zero EBITDA -- international EBITDA in that business. In 2020, even with COVID, we made $8 million EBITDA. And this year, we're looking at probably doubling that number on the international markets of that insulation. So, again, it's the globalization of that I think we're most excited, obviously, about the North American market. But we have a great opportunity to see expansion of that business overseas.
Operator: Thank you. Our next question is coming from John Roberts with UBS. Please proceed with your question.
John Roberts: Thank you. Do you think your new portfolio can carry higher leverage than the old portfolio so that we might see deployment of even more than the divestment proceeds?
Peter Huntsman: Well, I think that it certainly could. I'm not necessarily certain that that's what we should do, because we can do it. I think that more importantly, I think that we want to stay to that 2x EBITDA -- normalized EBITDA sort of a debt level. I think we've made that commitment to the market. If we were to exceed that 2x EBITDA, at least in my opinion from where I'm sitting right now, we'd have to have a very, very certain and quick way of either selling off an asset or doing something that would get us back to that 2x EBITDA. But I think we need to be able to balance growth and investment opportunities. I think with the amount of cash we're generating in the company, we can have our cake and eat it too. We continue to buy assets, we continue to reshape our portfolio and we can also maintain a strong balance sheet.
Operator: Thank you. Our next question comes from Matthew Blair with Tudor, Pickering, Holt & Co. Please proceed with your question.
Matthew Blair: Hi. Good morning. Peter, with understanding it’s the Board's decision, how do you feel about the prospect for a dividend increase in 2021?
Peter Huntsman: Well, I think it's something that the Board certainly needs to be talking about. Matthew, to be honest with you, I probably better not comment one way or the other on that one, because I just see myself getting in trouble. But it is something that we want to continuously evaluate. And on a quarterly basis, at our Board meetings, we do look at the chemical industry in general and we want to make sure that we are competitive with our peers. We certainly don't want to be the highest, but we certainly don't want to be anyway close to the lowest. So that's something that we're going to continue to be evaluating on an ongoing basis.
Operator: Thank you. Our next question comes from the line of Matthew DeYoe with Bank of America. Please proceed with your question.
Matthew DeYoe: Hi. Thanks for taking my question. So there's been some positive talk about free cash flow progress, but your 2021 guidance of 20% conversion isn't particularly robust I guess when we look at peers and where we are on the polyurethane cycle with some of the fly up. So I guess what's holding cash flow back in 2021 I guess ex the CapEx uptick which makes sense and what you've talked about?
Sean Douglas: Yes, I'll take that one. This is Sean. Look, if you think about some of the projects we've explained in our script today, you'd see that if you add those back, we actually are looking at above 35% free cash flow year in 2021. So I actually feel that we're on track with what we've said. What we've done is we're in the biggest spend year of our project in Geismar, Louisiana, the splitter, and that's an $80 million spend. We also have announced some usage of $70 million of proceeds. We just got to sort of accelerate some of the growth in our downstream business that you can't buy, that you have to build yourself. And so we added $30 million this year to CapEx. And when you tie in the optimization span that we're spending this year to get that $120 million of savings on an annualized basis, you put all that together, you're taking that kind of near 20% up to about 35%. So I feel we're right on track.
Operator: Thank you. Our next question comes from the line of Angel Castillo with Morgan Stanley. Please proceed with your question.
Angel Castillo: Hi. Good morning. Thanks for taking my question. Peter, I was just hoping you could unpack a little bit more on the Advanced Materials segment in your outlook and what you're seeing. From an end markets perspective, you talked about aerospace. But if you could touch on some of the other end markets that you have, then what you're seeing. And on top of that I guess I was also wondering, you talked about that segment as a core platform for growth in M&A and there's a lot going on right now with some of the acquisitions that you've recently done. So curious from a capacity perspective, operationally, is there any constraints as to limitations as to how much more M&A you can do kind of in the near term for that segment? Do you kind of take a pause until you've done Gabriel fully integrated or is there an opportunity to do something kind of near term still?
Peter Huntsman: I think, Angel, that's an excellent question. I think that as we look at Advanced Materials, in the script, we talked about it being a platform for internal investment, organic expansion. And so I think that we see a lot of opportunities, particularly around power and around electronics. So when you think of the power grid system that has to be built, if you're going to be connecting all of these windmills and solar plants and all of these new sources of electricity, the build out of a smart grid or just the addition of a dumb grid, I guess, either one of those, a smart grid or a dumb grid, we're going to be involved in the build out of the electronic infrastructure; the power lines, the transformers and so forth. That's a very profitable end of our business. And then we also look at the electronics side of what we're doing. This is an area as well when you think about the shortages that are taking place around the automotive industry and from the excellent questions earlier asked, and you look at the average electric vehicle, it's going to take 4x the amount of semiconductor capacity as an ICE vehicle. So as you look at those end use applications, I think that those are all areas of growth and a lot of what we're going to be doing in Advanced Materials. These are new fields. As we look in our Performance Products and we look at expanding some of our products that we'll be going into battery technology, these aren't areas where you go out and you buy competition, because nobody's doing it right now, and we think that we've got an expertise, a lot of the amines that potentially will be used for carbon capture and sequestration. We've talked in the past about our ability to produce nano technologies around carbon and as part of carbon capture and so forth. A lot of these areas are areas that we have technology, we have knowhow and we want to develop these end use markets. And we think that with this transition going into this greener economy, not only will there be some sort of a subsidy and help in doing some of those sorts of things through taxes and so forth, but we think that the markets will be there as well. So when we talk about internal opportunities for Advanced Materials and Performance Products and the other divisions as well, we see real opportunities there. But again, I'd also just say that with the recent acquisitions we've done, areas around hearing curing agents and codings, again, we have an opportunity to take those acquisitions and to give our existing customer base and our expanding customer base a wider portfolio of services, products, formulations, components. And I think that as I look at Advanced Materials, yes, I see it as a potential platform for more M&A. But I'm especially excited to see about what it could do by improving the bottom line, by integrating what we've purchased, by becoming more streamlined in the cost and by capitalizing on small but manageable expansions that we’ll be going into new and bolder opportunities going forward.
Operator: Thank you. Our next question comes from the line of Arun Viswanathan with RBC Capital Markets. Please proceed with your question.
Peter Huntsman: And operator, given that we’ve come to the top of the hour, this is the last question. Thank you everybody for having joined us this morning. Arun?
Arun Viswanathan: Yes. Thanks, Peter, and thanks for taking my question. So just trying to get your higher level thoughts. If you look at the guidance, it looks like the numbers you've provided point to Q1 EBITDA in the $250 million range or so. And I guess -- you've provided some thoughts before that maybe normal earnings would be 925 on an annualized basis EBITDA wise, but you've already kind of recovered most of that. So maybe you can just kind of offer your thoughts on how much of your portfolio is still depressed, or are you feeling that you've already caught up? And is that kind of run rate for the quarter now implying 1 billion for the year? Is that a fair characterization of where you stand?
Peter Huntsman: Well, and I'll try to be very clear here, because I don't like giving macro predictions and so forth. But if we see 2021 continue as it has performed in the fourth quarter of last year, first quarter of this year, we continue to see the demand in the margins in those areas, yes, I think that we are back to that normalized range that we are talking about. But I would just want to put in the caveat that we do have some T&Is or turnarounds that we've already pointed out and some expenditures in those areas. We also have quite a bit of money yet to spend and an opportunity yet to be achieved through synergies and through consolidation of some of our operations. Again, that will be taking place. So when we went back and we looked at where we were in 2018, that $1.1 billion, $1.2 billion sort of level is part of that -- kind of that rebound back to a 1.1 billion sort of normalized rate. That included some synergies and cost optimizations and so forth. Not sure all that will be done this year. I'd like to see it all done this year, but the timing it will be over the course of the next two years. But again, if we continue to see the demand in the margins stay up at these sort of levels that we're seeing as we finish off the first quarter, as we begin second quarter, I would be even more optimistic about what I'm seeing in 2021. And again, I want to be absolutely clear, because I've read some analysts reports. They’ll say that Huntsman may not be as bullish as the competition. Look, I think that we've got to look at a company's ability to capitalize on markets, period. And if we're not as bullish as somebody out there that's analyzing the market, it doesn't mean that we're going to go out there and somehow hurt the market or drop our price to match our forecasts. We are in a position to take advantage of pricing, take advantage of margin expansion and we will be doing that throughout the year. If the economic forecast continues to be such that we continue first quarter sort of economics throughout the year, it's going to be a very, very good year for us. And we are going to take full advantage of that. And I think we're in an excellent position to do so through our recent acquisitions, through continued cost cutting and moving further downstream.  And with that, thank you all very much for joining us this morning. And if you have any questions or comments, please feel free to contact Ivan and our IR group. Thank you very much.
Sean Douglas: Thank you.
Operator: Ladies and gentlemen, this concludes today's teleconference. Once again, we thank you for your participation and you may disconnect your lines at this time.